Rebecca: Afternoon, everyone, and welcome to Gilead Sciences, Inc.'s Fourth Quarter and Full Year 2025 Earnings Conference Call. My name is Rebecca, and I'll be today's host. In a moment, we'll begin our prepared remarks followed by our Q&A session. To withdraw your question, press 2. Now I'll hand the call over to Jacquie Ross, Senior Vice President of Treasury and Investor Relations.
Jacquie Ross: Thank you, Rebecca. Just after market closed today, we issued a press release with earnings results for the fourth quarter and full year 2025. The press release, slides, and supplementary data are available on the Investors section of our website at gilead.com. The speakers on today's call will be our Chairman and Chief Executive Officer, Daniel O'Day, our Chief Commercial and Corporate Affairs Officer, Johanna Mercier, our Chief Medical Officer, Dietmar Berger, and our Chief Financial Officer, Andrew Dickinson. After that, we'll open the call to Q&A, where the team will be joined by Cindy Perettie, the Executive Vice President of Kite. Let me remind you that we will be making forward-looking statements. Please refer to slide two regarding the risks and uncertainties relating to forward-looking statements that could cause actual results to differ materially. With that, I'll turn the call over to Dan.
Daniel O'Day: Thank you, Jacquie, and good afternoon, everyone. I'm pleased to share another very strong set of results for Gilead Sciences, Inc. Closing out a remarkable year for the company with clinical, commercial, and operational achievements that set the stage for a very promising 2026. Starting with our full year results, our HIV business grew 6% year over year, driven by 7% growth in Biktarvy and 47% growth in our HIV prevention portfolio. This was despite an estimated $900 million headwind in 2025, associated with the Part D redesign. Absent this headwind, our HIV business growth was 10% in 2025. YES2GO, our twice-yearly HIV prevention injectable, has already exceeded our coverage goals and is rapidly gaining market share in addition to expanding the reach of HIV prevention to new users. With its unique potential to bend the curve of the HIV epidemic, YES2GO is a transformative medicine that we expect to drive durable, steady, and long-term growth in our HIV prevention business in the coming quarters and years. Our liver business grew 6% in 2025, compared to 2024, largely driven by the rapid adoption of Libelzi for primary biliary cholangitis. And in oncology, Trodelvy also grew 6% in 2025, driven by momentum in metastatic triple-negative breast cancer following positive phase three updates. And cell therapy was down about 7% year over year, largely in line with our expectations, and reflecting continuing competitive headwinds. Moving to clinical progress, following a very productive year in 2025, we have a catalyst-rich year ahead, including phase three updates from Island One and Two trials evaluating islatrovir plus lenacapavir, a potential first once-weekly oral treatment for people with virologically suppressed HIV. Two phase three updates for Trodelvy, including the EVOQUE-03 trial in metastatic non-small cell lung cancer, and the ASCENT GYN-01 trial in advanced endometrial cancer. Lastly, we expect an update on the phase three IDEAL study evaluating libdalzi in second-line primary biliary cholangitis with only incomplete response to UDCA. The strength and the pace of progress in our clinical pipeline is driving a steady cadence of product launches. And on the heels of libdalzi in 2024, and YES2GO in 2025, we are targeting four commercial launches this year. Including Trodelvy for first-line metastatic triple-negative breast cancer, extending beyond second-line treatment for which Trodelvy is a standard of care, following positive results from the phase three ASCENT-03 and ASCENT-04 studies. A new daily oral combination of bictegravir and lenacapavir for HIV treatment, following positive updates from the phase three ARTISTRY One and ARTISTRY Two trials, Anidocel, our potential best-in-disease BCMA CAR T, for fourth-line or later relapsed or refractory multiple myeloma, and bruleviratide in the US following approval in the EU for treatment of chronic hepatitis delta. These commercial and clinical milestones reflect the success of our diversification strategy that has been shaping Gilead Sciences, Inc. over the last six years. We have up to 10 ongoing and potential new launches through 2027 and the strongest pipeline in our almost forty-year history. At the same time, we remain committed to operating expense and M&A discipline, continued delivery of exceptional operating results, and growing returns to shareholders. With many of the policy-related uncertainties behind us, and no major product LOEs until 2036, Gilead Sciences, Inc. is entering 2026 in a position of strength. With that, I will hand it over to Johanna.
Johanna Mercier: Thanks, Dan, and good afternoon, everyone. 2025 was another strong year of commercial execution, with base business sales up 4% compared to 2024, or nearly 8% excluding impact from Medicare Part D redesign. This underscores the durability of our base business and our sustained launch momentum with up to 10 ongoing and potential new launches through 2027. Beginning on slide seven, fourth quarter total product sales, excluding Vecluri, were $7.7 billion, up 7% year over year and 9% sequentially, primarily driven by higher sales across HIV and livdelsi. Including Vecluri sales of $212 million, fourth quarter total product sales were $7.9 billion, up 5% year over year and 8% sequentially. Turning to the full year on slide eight, total product sales excluding Vecluri were $28 billion in 2025, more than $300 million above the high end of our full-year guidance range, driven by outperformance in our HIV business and partially offset by lower cell therapy sales. Including Vecluri, total product sales were $28.9 billion, up 1% compared to 2024, or 5% excluding Medicare Part D redesign impact highlighting the strength of our overall business. Moving to slide nine, our HIV business delivered record sales of $5.8 billion for the fourth quarter, up 6% year over year, driven by higher demand for Biktarvy and Descovy as well as the launch of YES2GO. Sequentially, HIV sales were up 10% primarily driven by seasonal inventory dynamics and higher average realized price, due to favorable channel mix, in addition to demand. For the full year, HIV sales of $20.8 billion were up 6% year over year driven by strong underlying demand growth. Our exceptional commercial performance and higher than expected average realized price exceeded our updated guidance of 5% growth. Excluding the estimated $900 million headwind, associated with the Medicare Part D redesign, our HIV business grew 10% year over year. Looking at HIV treatment in more detail on slide 10, Biktarvy fourth quarter sales were $4 billion, up 5% year over year, full year sales were $14.3 billion, up 7% year over year, both driven by higher demand, partially offset by lower average realized price. This demand-led growth reflects 2% to 3% treatment market growth annually and continued Biktarvy share gains. In the US, for example, Biktarvy share is more than 52%, with year over year gains every quarter since launch. It's clear Biktarvy continues to set the bar for HIV treatment and remains the number one prescribed regimen for both treatment-naive and switch across major markets. We are rapidly advancing towards the launch of Viclen, our investigational once-daily oral combining bictegravir, the most prescribed integrase inhibitor, with our breakthrough capsid inhibitor, lenacapavir, in virologically suppressed people with HIV, including those on complex regimens. Viclen could further expand our lead in the switch market following potential launch in the second half of this year. This regimen represents the first of up to seven potential HIV product launches through 2033. Now moving to slide 11, we've had another exceptional quarter for our HIV prevention business, which grew 53% year over year driven by favorable access, strong commercial execution, and continued US market growth of approximately 13% year over year. Our fourth quarter sales of Descovy were up an impressive 33% year over year. For the full year, Descovy sales were $2.8 billion, up 31% year over year, driven by increased demand in HIV prevention and higher average realized price. Descovy's performance in HIV prevention, accounts for roughly 80% of its sales, continues to exceed expectations with record US market share greater than 45%. Similarly, YES2GO continues to perform strongly across several key launch indicators. YES2GO fourth quarter sales were $96 million and full year YES2GO sales were $150 million in line with our guidance we shared in the third quarter. Building upon this early success, we recently launched our YES2GO branded direct-to-consumer campaign highlighting YES2GO's dosing schedule and efficacy and reflecting the broad diversity represented in our purpose trials. We expect this DTC campaign to broaden awareness of YES2GO and contribute to a consistent build in YES2GO sales in the coming quarters. Coverage for YES2GO continues to grow and I'm thrilled to share that we have achieved our goal of 90% coverage well ahead of our one-year target. This includes all major payers. Additionally, approximately 90% of covered individuals can access YES2GO with $0 co-pay. We continue to work on an account-by-account basis to support pull-through as quickly as possible. While we have more to do, we are making great progress here as we support clinicians and their offices, navigate the new logistics associated with a twice-yearly injectable regimen. Given our expectations for a steady, durable, and long-term build in sales, we expect full-year 2026 YES2GO revenue of approximately $800 million compared to $150 million in 2025, highlighting that YES2GO is well on its way to achieving blockbuster status. We continue to offer the most compelling HIV prevention portfolio available, including the six-monthly YES2GO injectable with its transformative potential on the HIV epidemic, in addition to Descovy for PrEP, the current market-leading branded oral. Our goal this year is to continue to drive rapid adoption of HIV prevention, and we expect both brands to demonstrate robust growth in 2026. For 2026, we expect total HIV sales including both treatment and prevention, to grow approximately 6% compared to 2025 as shown on slide 12. Looking at quarterly trends, and as a reminder, we expect our normal HIV seasonal inventory drawdown in the 2026. As announced in December, there are manageable headwinds associated with the drug pricing agreement with the US government to lower Medicaid pricing for some of our products, including Genvoya and Odefzi. Additionally, our guidance reflects some potential shifts into lower price channels associated with proposed changes to the Affordable Care Act. In total, these headwinds are expected to impact HIV growth by about 2% in 2026 compared to 2025. Absent these headwinds, our HIV business is expected to grow 8% in 2026, highlighting the underlying strength of our HIV business. Turning to liver disease on slide 13. Full year sales of $3.2 billion were up 6% year over year, primarily driven by higher demand, and partially offset by lower average realized price. In the fourth quarter, liver sales were $844 million, up 17% year over year and 3% sequentially, driven by another quarter of continued strength for Libdelzi in primary biliary cholangitis or PBC. Libdelzi grew a remarkable 42% sequentially to $150 million driven by strong patient demand, further accelerated by the withdrawal of a competitor product in the US. With much of this switching activity now behind us, we are pleased to start 2026 as the US market share leader with more than 50% in second-line PBC. Moving to Trodelvy on slide 14. Full year 2025 sales increased 6% to $1.4 billion primarily driven by higher demand in metastatic breast cancer treatment, which more than offset the expected impact from the bladder cancer withdrawal in the US at the end of 2024. In the fourth quarter, Trodelvy sales were $384 million, up 8% both year over year and sequentially driven by higher demand. Building on Trodelvy's strong 2025 performance, we shared back-to-back positive phase three ASCENT-03 and ASCENT-04 readouts. These results contribute to the strong body of evidence for Trodelvy across lines of therapy in metastatic triple-negative breast cancer, and continue to drive demand growth. In both these studies, the investigational Trodelvy regimens demonstrated a highly statistically significant and clinically meaningful progression-free survival benefit over the standard of care. These potentially practice-changing data have now been published in New England Journal of Medicine, and have been recognized by the NCCN in their updated breast cancer guidelines. Trodelvy is now the only antibody-drug conjugate to be recommended by the NCCN for first-line PD-L1 positive and PD-L1 negative as well as second-line metastatic triple-negative breast cancer. As the leading regimen in second-line, Trodelvy is already well established with oncologists, and these updates build momentum for Trodelvy ahead of potential first-line launches expected later this year. Moving to cell therapy on slide 15, and on behalf of Cindy and the Kite team, full-year cell therapy sales were $1.8 billion, down 7% year over year reflecting ongoing in and out of class competition. For the fourth quarter, cell therapy sales were $458 million, up 6% sequentially due to higher than expected patient treatments in advance of holidays, in addition to one-time pricing adjustments. Year over year, fourth quarter cell therapy sales were down 6% consistent with the trends we have discussed throughout 2025. For 2026, we continue to expect these competitive headwinds including in several countries outside the US, where we expect new entrants this year. Additionally, cell therapy volumes are being impacted by a growing number of clinical trials, which is exciting for our industry and for the patients who could benefit from innovative new therapies from Kite and others. That said, this represents another near-term headwind. Overall, we expect Kite revenue to decline approximately 10% in 2026 compared to 2025. Looking to the second half of the year, the team is preparing for the potential launch of Anidocel in fourth-line and later relapsed or refractory multiple myeloma. We believe Anidocel's potential best-in-disease profile combined with Kite's exceptional manufacturing capabilities, and industry-leading turnaround times, puts us in a favorable position ahead of a potential commercial launch. Wrapping up our fourth quarter and 2025 on slide 16, I'd like to highlight the exceptional strength of our existing commercial portfolio as well as our robust launch pipeline with the potential for four launches later this year. We are committed to remaining focused on our ongoing launches of Libdelzi and YES2GO. In addition to ensuring that we are prepared to have an immediate impact with the potential launches of Anidocel in multiple myeloma, Trodelvy in first-line metastatic triple-negative breast cancer, Viclen in HIV treatment, and bruleviratide in chronic hepatitis D. The addition of these potentially transformative therapies to our portfolio is incredibly energizing for our teams. We look forward to extending the reach of Gilead Sciences, Inc. therapies to many more patients who can benefit from them in 2026. And with that, I'll hand the call over to Dietmar.
Dietmar Berger: Thank you, Johanna, and good afternoon, everyone. I'd like to start by reflecting on 2025 and thanking the research and development teams and partners for an exceptional year of clinical execution. As shown in our 2025 milestones on Slide 18, we received regulatory approvals for lenacapavir, our first-in-class capsid inhibitor, for HIV prevention in the US, EU, and 12 other countries. Additionally, we provided updates on seven Phase III or pivotal Phase II trials, including positive updates for bictegravir plus lenacapavir, Trodelvy, and Anidocel. Looking ahead to 2026 and beyond, we are well-positioned to progress our clinical programs across our three core therapeutic areas. Starting with HIV on slide 19, we continue to advance a comprehensive pipeline with lenacapavir as the backbone. Our HIV pipeline could support up to seven additional daily, weekly, monthly, twice-yearly, or yearly HIV product launches by 2033. In the fourth quarter, we announced positive top-line results from our ARTISTRY I and II, evaluating once-daily bictegravir, the most prescribed integrase inhibitor, with lenacapavir, our breakthrough capsid inhibitor. We expect to share detailed results from our positive Phase III trials at the CROI meeting in February with a potential FDA decision by the end of the year. Looking at our long-acting programs, we plan to share Phase III updates from our ILN-One and ILN-Two trials, evaluating islatrovir plus lenacapavir in 2026 and for our twice-yearly treatment program, we plan to initiate our Phase III trial evaluating lenacapavir plus broadly neutralizing antibodies in the second half of the year. Further, we have now completed our evaluation of the Phase I data for our long-acting INSTI candidates GS-3242 and GS-1219 as well as GS-1614 and islatrovir prodrug. Consistent with the timeline shared during our HIV analyst event in December 2024, we have identified GS-3242 as the most promising program with lenacapavir and prioritized its development as a potential twice-yearly HIV treatment. As a result, and as a reminder, we have discontinued the development of a twice-yearly regimen with GS-1219, and a quarterly regimen with GS-1614. Turning to liver disease on slide 20. We remain committed to further evaluating Libdelzi to potentially improve the standard of care for more patients with PBC. At the liver meeting in November, we presented late-breaking real-world data showing that Libdelzi is an effective and well-tolerated alternative for PBC patients switching from obeticholic acid. Later this year, we expect to provide an update from our Phase III IDEAL study evaluating Libdelzi in patients with ALP levels between 1 and 1.67 times the upper limit of normal. Patients typically excluded from Phase III studies. If positive, these data could support the expansion of Libdelzi to incomplete responders to UDCA and potentially enable even more second-line PBC patients to achieve better biochemical and symptomatic control of their PBC. Moving to oncology on Slide 21. Trodelvy has demonstrated clinically meaningful survival benefit in two Phase III trials establishing it as a leading regimen in its approved indications. Most recently, Trodelvy has demonstrated highly statistically significant and clinically meaningful progression-free survival benefit across first-line metastatic triple-negative breast cancer patients. Full data from the Phase III ASCENT-03 and ASCENT-04 trials were published in the New England Journal of Medicine in October 2025 and January 2026. We expect FDA decisions for Trodelvy in first-line metastatic TNBC patients who are not candidates for PD-1 inhibitors, and for Trodelvy plus pembrolizumab in first-line PD-L1 positive metastatic TNBC in 2026. Ahead of the FDA decisions, the NCCN updated their breast cancer guidelines to reflect the changing nature of these results, reinforcing our confidence in Trodelvy's clinical profile. We also have four Phase III studies that continue to evaluate Trodelvy's potential in additional tumor types. Notably, we expect updates from two of the Phase III trials this year, including ASCENT GYN-01, evaluating Trodelvy in second-line metastatic endometrial cancer in the second half of this year, as well as EVOQUE-03, exploring Trodelvy plus pembro, in first-line metastatic PD-L1 high non-small cell lung cancer. Moving to cell therapy on Slide 22 and on behalf of Cindy and the Kite team, I will touch upon some of our updates on our Anidocel program. Notably, we have filed Anidocel based on our update from the phase II IMagine I trial in fourth-line or later relapsed or refractory multiple myeloma at ASH in December. Anidocel demonstrated clinically meaningful efficacy with 96% overall response, including 74% complete response, and 95% measurable residual disease negativity. Additionally, Anidocel demonstrated a predictable and manageable safety profile with no delayed or non-ICANS neurotoxicities and no immune effector cell-associated enterocolitis. Based on these exciting data, we are energized to potentially bring Anidocel to patients in the second half of this year. Longer term, we see additional opportunity for Anidocel with our Phase III IMMAGINE-03 study in second, third, and fourth-line relapsed or refractory multiple myeloma enrolling in record time. We are also planning a pivotal program in newly diagnosed multiple myeloma. With our broader and rapidly advancing clinical development program, we expect Anidocel to potentially reach more patients earlier in the treatment paradigm. Wrapping up on Slide 23, our key milestones for 2026 include five Phase III readouts as well as five FDA decisions for bruleviratide for chronic hepatitis delta, Viclen for virologically suppressed people with HIV, Trodelvy in first-line PD-L1 positive and negative metastatic breast cancer, and Anidocel in fourth-line and later relapsed or refractory multiple myeloma. While these pipeline milestones reflect some of our later-stage catalysts, I would like to remind you we have 53 ongoing clinical programs and will continue our progress across our portfolio, including KITE-753, our next-generation CD19, CD20 bi-cistronic CAR T enrolling for its pivotal trial for third-line large B-cell lymphoma GS1427, a once-daily oral L inhibitor for inflammatory bowel disease, and it is cecertib, our IREC4 inhibitor, for cutaneous lupus erythematosus. And with that, I'll turn over the call to Andy.
Andrew Dickinson: Thank you, Dietmar, and good afternoon, everyone. Starting on slide 25, full-year 2025 total product sales of $28.9 billion were up 1% from 2024, above our $28.4 billion to $28.7 billion guidance range driven by demand-led HIV sales growth, that more than offset the $1.1 billion headwind related to Part D redesign and $900 million lower Vecluri revenue. Excluding the Part D redesign impact, our total product sales grew nearly 5%. Base business revenue which reflects total product sales excluding Vecluri, was $28 billion up nearly $1.2 billion or 4% from 2024 exceeding our $27.4 billion to $27.7 billion guidance range. Excluding the impact of the Part D redesign, our base business grew 8%. Our strong revenue results reflected HIV growth of 6%, or $1.1 billion, to $20.8 billion driven by strong growth for Biktarvy and Descovy, which grew 731%, respectively, from 2024 as well as the launch of 6% to $3.2 billion reflecting growing demand primarily driven by Libdelzi. Full-year 2025 Vecluri revenue $911 million, a decline of $900 million or 49% from 2024, and mostly in line with our expectations given lower COVID-19 related hospitalization trends. Moving to our full-year non-GAAP results on slide 26. Product gross margin was 86.4%, in line with our guidance of 86%. R&D expenses of $5.7 billion were down 1% compared to 2024. And in line with our guidance of R&D flat on a dollar basis for 2025. Acquired IPR&D expenses were approximately $1 billion, in line with our expected annual investment in earlier stage opportunities, that are part of our normal course of business development. And SG&A expenses of $5.6 billion were down 5% compared to 2024, within our guidance range, reflecting lower general and administrative expenses, partially offset by sales and marketing investments to support YES2GO's launch. Overall, our operating margin for full-year 2025 was 45%. Excluding acquired IPR&D, and the $400 million nonrecurring other revenue related to the IP asset sale in the third quarter, our operating margin was roughly 48% for the full year. This underscores our ability to continue expense discipline, while increasing investment in new and ongoing launches. The non-GAAP effective tax rate was 18.3%, roughly in line with our guidance of approximately 19%, and down from 25.9% in 2024 primarily driven by the prior year nondeductible acquired IPR&D charge for the acquisition of Simbae. And finally, non-GAAP diluted EPS was $8.15 in line with our 2025 guidance of $8.5 to $8.25 and driven by lower acquired IPR&D expenses higher revenues, and lower SG&A expenses. Excluding the approximately $3.14 per share impact related to the Simbae transaction, non-GAAP diluted EPS increased by 40¢ compared to 2024. To quickly recap the fourth quarter on slide 27, total product sales were $7.9 billion up 5% year over year, with base business growth partially offset by the expected decline in Vecluri sales. Excluding Vecluri, total product sales were $7.7 billion up 7% from the same period in 2024, primarily driven by higher sales for our HIV and liver disease products. Moving to the fourth quarter P&L on slide 28. R&D expenses were $1.6 billion down 3% relative to the same period in 2024, and SG&A expenses were $1.7 billion down 9% year over year primarily due to lower G&A expenses. Overall, our non-GAAP diluted earnings per share was $1.86 in 2025, compared to $1.90 in the same period in 2024 primarily due to higher acquired IPR&D expenses partially offset by higher product sales and lower SG&A expenses. Looking at our full-year guidance on slide 29, we expect 2026 total product sales between $29.6 and $30 billion. We expect total Vecluri sales of approximately $600 million highlighting a $300 million headwind that we expect to more than offset in our base business. We therefore expect base business sales between $29 and $29.4 billion, growth of 4% to 5% compared to 2025. Moving to the non-GAAP P&L for the full year 2026, we expect product gross margin of approximately 87%, R&D expenses to increase a low single-digit percentage from 2025, acquired IPR&D investments of approximately $300 million reflecting known commitments associated with prior collaborations and partnerships. Consistent with our approach in 2025, we will highlight incremental acquired IPR&D expenses as we announce new transactions throughout the year. And SG&A expenses to increase by a mid-single-digit percentage relative to 2025, reflecting higher investments in sales and marketing to support our commercial launches, offset in part by lower G&A expenses. We expect full-year 2026 non-GAAP operating income of between $13.8 billion and $14.3 billion a tax rate of approximately 20%, and non-GAAP diluted EPS in the range of $8.45 and $8.85 per share. As Johanna mentioned, and as shown on slide 30, we expect an approximate 2% headwind to growth in 2026 primarily associated with the impact of the drug pricing agreement announced in December 2025 and the expected impact of updates to the Affordable Care Act. I'll note that absent these updates, our full-year growth would be in the range of 6% to 7%. Additionally, we expect HIV to grow approximately 6% in 2026. And within HIV, we expect 2026 YES2GO revenue of approximately $800 million. In cell therapy, we expect full-year 2026 revenues to decline approximately 10% compared to 2025, reflecting continued competitive headwinds related to our Kite portfolio. On slide 31, we returned $5.9 billion to shareholders in 2025, we remain committed to returning on average, at least 50% of our free cash flow to shareholders. In 2025, this included $1.9 billion of share repurchases primarily intended to offset equity dilution at a minimum, in addition to opportunistic repurchases. Combined with our dividend, we returned approximately 63% of our free cash flow to shareholders in 2025. In terms of business development, we are confident that we have built a robust and diverse portfolio that can support Gilead Sciences, Inc.'s growth. At the same time, we are carefully strengthening our early-stage pipeline to position Gilead Sciences, Inc. well for the long term, typically investing about $1 billion annually in smaller licensing deals, partnerships, and acquisitions. Additionally, we are proactive and disciplined in our approach to later-stage acquisitions that support our strategic goals, and add new growth opportunities. Overall, we are pleased with Gilead Sciences, Inc.'s consistent strong performance, highlighted by our clinical and commercial execution, and supported by our disciplined operating model. We continue to be well-positioned for near-term and long-term growth and we remain focused on delivering on our strategic commitments. With that, I'll invite Rebecca to begin the Q&A.
Rebecca: Thank you, Andy. At this time, we'll invite your questions. Please be courteous and limit yourself to one question so we can get to as many analysts as possible during today's call. Again, to ask a question, press 1. And to withdraw your question, press 2. Our first question comes from Chris Schott at JPM. Chris, go ahead. Your line is open.
Chris Schott: Great. Thanks so much. Just wanted to kick off with a question on YES2GO. Can you just elaborate a little bit more on the assumptions driving the $800 million guidance? And maybe as part of that, as we start to think about patients now needing to be redosed on the drug, what type of refill rates are you anticipating as we think about kind of going through 2026 and beyond? Thank you.
Daniel O'Day: Yeah. Thanks, Chris. It's Dan O'Day. Welcome to the call. I'd invite Johanna to cover that point. Thank you.
Johanna Mercier: Thanks, Dan, and thanks, Chris, for the question. So, yeah, so one, let me start with how excited we are with YES2GO. I think as we closed out 2025 and really building momentum coming into 2026, all of our key launch indicators are basically tracking or exceeding our expectation, and that includes, of course, access, which is where it starts, with about 90% payer coverage, so all major payers are now covering YES2GO. About 90% of those with $0 co-pay, so that's really important for people that want to have access to this medicine. I would just remind everyone that as we pull through this great access, it takes a little bit of time, right, because you do it by account by account, and you're basically navigating logistics for HCPs and their clinics around an injectable versus a very oral market to begin with. So that scheduling, coordination, administration, so that just takes a little bit of time. And the teams are working diligently to make sure that happens as quickly as possible. We also launched, you may have seen, a very campaign. Our whole campaign is One to PrEP, campaign, which is really meant to increase awareness for HIV prevention and, of course, brand recognition for YES2GO as it really differentiates itself from its efficacy as well as its dosing and really intended to appeal to a much broader audience than past HIV prevention campaigns and hope folks are seeing that. It's a very consumer-friendly campaign and we expect that to kind of pull through as well. And make sure that people are talking to their physicians about potential opportunities of YES2GO. So all of our indicators, intakes, access, 2026, continued growth and momentum quarter on quarter will build on that. But also well beyond 2026 as we expand the HIV and normalize HIV prevention for everyone. To your point around persistency, we don't have an assumption at this point in time because it's still really quite early. As you think about a late launch in June, with very little access as we launched and building access into Q3, there's really only a small number of individuals that are eligible for that second dose or second injection. But we're really quite encouraged by early data. We're tracking it closely and continue to focus on ensuring that individuals return for their second injection. And then well beyond that. We have a lot of activities planned that are ongoing and have started ever since we started the launch of YES2GO around making sure HCPs are thinking about that auto refill script making sure that our specialty pharmacy partners are reaching out proactively to all of their individuals that are on PrEP and making sure they're reminding them as well as the work that we do here at Gilead Sciences, Inc., both with digital reminders as well as proactive outreach with our access program. So more to come on that, but we're excited about what YES2GO has to offer. For individuals looking or wanting to need HIV PrEP. So more to come. Our next question comes from Louise Chen at Scotiabank. Louise, go ahead. Your line is open.
Louise Chen: Hi. Thank you for taking my question. I wanted to ask you what type of share gains you expect for Anidocel in the fourth-line setting if you're approved, especially in light of competition from entrenched players. Thank you.
Daniel O'Day: Thanks, Louise. Dan here. I'll turn it over to Cindy who's with us here.
Cindy Perettie: Thanks, Louise. Just as a reminder, our expectation is that we would be launching this second half of next of this year. And once we have approval, there's a period of time where we turn on qualified, authorized treatment centers so that they're able to treat. So there's that component right after approval. The market for fourth-line multiple myeloma is a $3.5 billion market. We expect because the launch is the second half of the year, and we need to turn on our authorized treatment centers, modest contribution in 2026. However, in 2027, we will have a full year of sales. We expect over time to become the market leader given our excellent efficacy profile and differentiated safety profile, in particular with the delayed neurotoxicity in enterocolitis. Think the last piece I would add is that we are bringing forward our world-class manufacturing and so we are ready for launch. We will have the ability to serve the market at launch. With 99% reliability and sixteen-day turnaround time, which, again, is very differentiated from the existing products on the market today.
Rebecca: Our next question comes from Tazeen Ahmad at Bank of America. Tazeen, go ahead. Your line is open.
Tazeen Ahmad: Okay, great. Thanks for taking my questions. On YES2GO, how should we be thinking about the growth outlook? Are you expecting to begin to see cannibalization of Descovy PrEP sales as early as this year? And then connected to that, how should we be thinking about the evolution of net price for YES2GO throughout the launch? Should we expect to see a decay over time like we've seen with other HIV therapies? Thanks.
Johanna Mercier: Sure. Hi, it's Johanna again. Thanks, Tazeen, for the question. So we do expect as we come into 2026, we have strong growth momentum already. So Q1 will be we'll start with modest growth and then kind of build on that quarter after quarter in light of all the different pieces including access, including the DTC awareness campaign, including a lot of the work that we're doing in the field to drive YES2GO awareness. So all of that will build on that growth momentum. And in addition to that, we're also doing it market expansion strategies as well with very targeted communities. And so we do believe that YES2GO is going to be the strong performer. And over time, we believe that YES2GO will be the market leader in HIV prevention just because of the incredible profile that it offers for folks. Having said that, in 2026, we believe that Descovy continues to grow through in 2026, As you saw, in 2025, we had the highest performance share for Descovy we've ever seen. This is driven by many factors, namely commercial execution, really strong market, of course, but also access. So all the pieces are coming together, and all the boats are rising, and it has a lot to do with the awareness in HIV PrEP because of the purpose one and purpose two trials for YES2GO really building up the market. We believe Descovy will continue to grow through 2026 and over time, of course, that will erode as YES2GO takes a leading share in HIV prevention. I think the final point you were asking about was gross to net, We obviously don't discuss gross to net, for our products, but I would say that YES2GO's value proposition is quite differentiated and we feel strongly that that is being recognized and that's in line with the 90% access in less than six months that we've been able to achieve. So really pleased so far with what we've been seeing and making sure that value continues to get recognized for HIV PrEP users.
Rebecca: Our next question comes from Michael Yee at UBS. Michael, go ahead. Your line is open.
Michael Yee: Great. Thank you, guys. Maybe a question for Dietmar or the team. Your long-acting Q six-month treatment drug, which I guess could be a super big tegger for your long-acting 3242. I think you said entered phase two. Can you tell us a little bit about the profile of that drug and what you're seeing in Phase one to get you excited? Is that going to be at CROI, I guess, up in a week or two? And how do you compare that to, I think, Shionogi's product, or their investment in Viveve? I'm sure you're aware that they're also excited about their Q six-month as well. So maybe compare and contrast and what gets you excited about your product. Thank you.
Dietmar Berger: Yes. Thank you, Michael, for the question. I mean, first of all, I really want to say that I'm excited about the breadth of the program that we have, not only the Q six months, also the upcoming, for example, weekly treatment that we have with rovir and lenacapavir, and really the options, you know, between the daily, weekly, monthly, and then every six months treatments that we're developing. Specifically for the once every six months, I also want to point out that we have two programs in development. One is for lenacapavir plus broadly neutralizing antibodies, Obviously, that is an infusion and comes with, you know, everything that you need to do from an infusion perspective. However, there's a real unmet need, the study the interest in the study is really high, so we feel that will be an important addition. And that will even a little earlier than the 3242 based combinations. Now 3242 is obviously a long-acting INSTI. We firmly believe that an integrase inhibitor is important in this combination, and think that also sets it apart from some of the other options that are out there. And you know all the benefits of the indices, you know, starting with, for example, the tolerability, but then also really the resistance profile and the forgiveness, and then we feel that that translates also into once every six months treatment. Then obviously, the combination with the lenacapavir, so you the INSEAD again, plus the capsid inhibitor, which we feel is a really important combination. So yes, you will see more data, more information about 3242 during the year. And we're really looking forward to detail that. I don't want to go too much into the comparison to the competitors. But please keep in mind that they cannot face once every six months treatment on one product only. They all need a combination. So we need to look at the overall development program that they have and that they'll put together to then really bring their products forward as compared to the two options that I've laid out that we have in development.
Rebecca: Our next question comes from Brian Abrahams at RBC Capital Markets. Brian, go ahead. Your line is open.
Brian Abrahams: Hey, guys. Congrats on the quarter. Thanks for taking my question. You give us a little bit more detail on your once-yearly injectable lenacapavir for PrEP on slides today. And I was wondering if you could maybe just talk about what you need to show, out of purpose 365 in order to support approval, and how you're planning to position that the market if successful? Thanks.
Daniel O'Day: Thanks, Brian. Go back to Dietmar.
Dietmar Berger: Yeah. I'll start with the profile. And really what is so great about lenacapavir is that it's such a versatile product. Right? And we do understand pharmacokinetics and the target coverage and some of the scientific you know, underpinnings of lenacapavir for prevention, really well. So the study, PURPOSE 365, is a PK-based study. It's a smaller study, It has been recruiting very well and continues to recruit very well. But it's a smaller study where we basically need to demonstrate target coverage and the right pharmacokinetics thing, peak levels, trough levels, etcetera, so that we can demonstrate effective prevention. That's how the study has been designed. Obviously, we're looking forward to see the data. By looking at PK, looking at safety, it will be an intramuscular injection, which is also an important differentiation that we're looking forward to demonstrate. But we feel it can really bring in a very important benefit with a longer-term interval to patients. I'll hand over to Johanna for the market.
Johanna Mercier: Yeah. Thanks, Brian. I would just add to what Dietmar was saying. Is the fact that it's twelve months. We've been very clear with the market research that we've seen that frequency or less frequency in the HIV PrEP setting specifically is the most important, and that's why YES2GO being such an important innovation to this marketplace every six months, let alone the potential of going to every twelve months, really would potentially attract a larger population if you were thinking that you just had to go to the physician's office once a year for that injection. So I think there's an opportunity to broaden the addressable population, as well as there are some folks as well that might have unstable housing or situations that once a year would also be ideal for them. So it's a real market expansion opportunity for us as we see this with that potential with 365.
Daniel O'Day: Great. And Brian, would just remind what we've already stated, which is this could be available as early as 2028. The trial is recruiting well.
Rebecca: Our next question comes from Umer Raffat at Evercore. Umer, go ahead. Your line is open.
Umer Raffat: Hi, guys. Thanks for taking my question. I was quite intrigued by your mention of the Trodelvy Phase III in endometrial perhaps in the second half of this year, which makes me wonder it's probably an interim analysis. You're effectively guiding to. Well, can you speak to your confidence overall heading into this interim? And is it fair to say that the size of the indication is generally similar with triple-negative breast? Thank you.
Dietmar Berger: So let me just talk about the study and then later on Johanna can chime in. Thanks for the question, Umer. Obviously, we are primarily intrigued about endometrial because of the earlier study, right, because of the phase two tropics three study, basket trial that we did, where we saw a median OS of fifteen months, in that population. That data was published at ESMO 2024. We feel, you know, with data like that, this would be a really important addition to the treatment options for second-line endometrial cancer patients. We're not providing details regarding the exact evaluation that we're going to do, but we're really looking forward to seeing the data later this year. I want to say second-line endometrial cancer is of course more of an incremental opportunity, but I'll hand over to Johanna if she wants to comment on that. Further.
Johanna Mercier: Yeah, sure. So I think you're right. It's basically in line with second-line metastatic TNBC, so more or less about five thousand or so. Addressable population in the US. So small opportunity, but very important unmet medical need as well for us. So this is where the focus and just the breadth of data for Trodelvy just expands. In addition to the ASCENT GYN that Dietmar was talking about, we also have a potential with EVOQUE-03 earlier this year. In our PD-L1 high non-small cell lung cancer. Setting as well, which would be a much larger market expansion for Trodelvy as well if that was to play out. So we're excited about what's to come for Trodelvy.
Rebecca: Next, we have Geoffrey Meacham at Citibank. Geoffrey, go ahead. Your line is open.
Geoffrey Meacham: Great. Hey, guys. Afternoon. Thanks so much for the question. Had a bigger picture one for Andy or Dan. You guys have done a ton of phase three cards that turnover this year and also some launches. Know, you haven't done a larger scale deal in a while. So I guess I wanted to get a sense from you guys as to what voids you think you need to fill. Is it further diversification of, say, therapeutic areas? Is it a new product cycle? Looking to the maybe mid-twenty thirties? Or is there no real BD urgency from you guys at this point? Thank you.
Daniel O'Day: Thanks a lot, Geoff. I'll start and certainly invite Andy to add. I think we've all been reflecting here at Gilead Sciences, Inc. about the progress that's made over the past five or six years, and I think some of the greatest evidence of that is the fact that, you know, we have up to 10 launches now either ongoing or to be introduced over between now and 2027. That includes four additional launches that year that have already been articulated and five phase three readouts. And importantly, back to your question, Geoff, that's across really all therapeutic areas, which is exactly the design. So we're building this very robust internal portfolio that's been built through original research, early-stage partnerships and collaborations, and M&A. So yeah, what I would say is that as we approach additional partnerships and M&A, there's two pieces to that, of course. The first one is that we have to stay active in what we call earlier stage transactions, sometimes referred to as normal course. And we spend roughly around a billion dollars every year on that. Again, we can be agnostic to the three therapeutic areas and go for the most interesting science. And that's what we've been doing to build this portfolio that is now coming through to us. And as we approach later-stage acquisitions, we do it in the context of the fact that we have the most robust clinical and launch pipeline in our company's history with no major LOEs until 2026. So we're uniquely positioned. We're very ready. We're very proactive and disciplined. But we may not have the urgency of other companies in this sector we're gonna be disciplined around that. But I would say that we very much want to continue to add to our pipeline with appropriate M&A over the course of the coming years as well. If I haven't said everything, Andy, would you like to add anything?
Andrew Dickinson: I think you covered it well. I mean, if you look at the growth that's ahead of us and the cycle that we're entering with all of the launches that are underway or the additional launches that are coming, you know, a reasonable portion of that is driven by our development activities historically, and we continue to want to supplement both, as Dan said, the early-stage, late preclinical, early clinical pipeline to more of the ordinary course deal. And we would like to add synergistic derisk late-stage assets that will further, you know, I define it as turbocharge our top-line growth, and drive even more outsized bottom-line growth. And we will be disciplined in that, but we've been very active in this space. We'll continue to be active and I'm confident that we'll add exciting new products over time when we find the right ones.
Rebecca: Our next question comes from Daina Graybosch at Leerink Partners. Daina, go ahead. Your line is open.
Daina Graybosch: Yeah. I went on Anidocel for me. I wonder and maybe I'm being presumptuous. But what gives you confidence in a second-half launch? Does that assume priority review for FDA? For Anidocel? And then for your 2027 filing from Imagine Three, is that gonna be on the MRD endpoint? Or on a survival endpoint? Thank you.
Cindy Perettie: Thanks, Daina. It's Cindy. So for the confidence in an Anidocel launch, we can't say today if we have priority review or not. Obviously, that would come with the BLA acceptance, and we'll be sure to let you know as soon as we can on that. But we have confidence in our conversations with the agency around the filing and look forward to being able to share more soon. The second component you asked about around Imagine Three, We have a dual endpoint, which is both MRD and PFS. On the Imagine Three study. And that's in line with the guidance that you heard from the FDA, not too long ago.
Rebecca: Our next question comes from Tyler Van Buren. Tyler, at TD Cowen. Tyler, go ahead. Your line is open.
Tyler Van Buren: Great. Thanks so much. For Trodelvy, are you guys starting to see off-label use in the frontline in advance of formal approval given the very positive readouts and the NCCN recommendation in particular? And what do you expect the opportunity in the frontline to be versus the current indication?
Johanna Mercier: Sure, Tyler. I'll take that one. It's Johanna. Yeah, so post ASCENT-04 presentation at ASCO last June, that's when we started actually seeing a little bit more spontaneous use of Trodelvy, both in the first-line setting but also strengthening our position, our leadership position in the second-line setting as well. So that's been kind of building. Obviously, spontaneous use, there's no promotion against first-line. There's only education from our medical field teams. Around the data publications in the New England Journal of Medicine and you highlighted as well the NCCN guidelines. Trodelvy is now the only ADC that is recommended both in first-line PD-L1 positive and PD-L1 negative metastatic TNBC as well as second-line setting. We're excited about that and the impact it can have on patients because this disease is such an aggressive form of breast cancer. To your market opportunity, it's about double or so if you think about second-line setting into the first-line setting, there's about ten thousand or so women in the first-line setting that are looking for care and really an opportunity for Trodelvy to have an impact here both in PD-L1 negative and PD-L1 positive with pembro. The other opportunity, of course, if you think about it is DOT. The duration of treatment basically doubles, right? Second-line setting because of the aggressiveness of this disease is four to five months and so therefore, as you think about first-line, it's about double. It's nine to ten months, which gives a little bit more hope to these women. So, definitely an important advancement. In triple-negative breast cancer with Trodelvy at the lead.
Rebecca: Our last question comes from Courtney Breen at Bernstein. Courtney, go ahead. Your line is open.
Courtney Breen: Hi, Gilead team. Thanks so much for squeezing me in at the end. I'm going to point us back to YES2GO again and just kind of really trying to get our arms around the 2026 guide. By our calculations, you have to believe that there's no growth in new patient starts compared to what we've seen kind of through January. For the rest of this year. And a more than 10% price cut year on year to kind of get to that $800 million guide for 2026. Given that, should we be thinking about the $800 million as a floor or as kind of a guide for 2026? Thanks so much.
Johanna Mercier: Thanks, Courtney, for your question. I'm not sure I'm tracking your modeling. Because we are definitely assuming continued strong momentum for YES2GO. I know all of you are looking at weeklies. We're obviously looking at weeklies, but we're also looking monthlies and making sure that we're creating new growth numbers month to month. And so we do see that as an acceleration of growth as we go into 2026. A lot of those pieces are supported by making sure that we're adding new patients on YES2GO, new individuals on YES2GO, and also bringing back people for their second injection. So those two pieces are considered in that guidance, and I think we're excited thus far about where we stand today with YES2GO and all the pieces are coming together. We are just making sure that as much as the access is strong right now, and I'm really proud of the team that pulled that through, We also need to pull it through at an account level. So we're doing that account by account and making sure people are navigating the logistics of an injectable in an oral market, and all of that takes a little bit of time. But the intent is we expect strong, consistent, durable growth for the long term for YES2GO. So we're excited about what's to come, and I guess DTC will also have a pretty big impact we believe, to bring people in asking and talking about YES2GO. That completes the time that we have for questions. I'll now invite Dan to share any closing remarks.
Daniel O'Day: Thanks, everybody. First of all, let me thank the Gilead Sciences, Inc. teams again. It's such a pleasure to work with them and to see deliver these really strong full-year performance measures and reinforcing that this is a time of impact and growth for the company. Our performance from last year gives us a really strong foundation for the coming year. We have a lot to deliver for the patients and communities we serve. Coming off of a year where we had just a really strong YES2GO launch as Johanna mentioned, several key launch indicators that have exceeded our expectations. We're firmly committed to continuing to drive that launch. But in addition, we have four potential launches this year and five pivotal Phase III readouts across all three therapeutic areas HIV, liver disease. So you can expect us to show the same strong commercial and clinical execution you've seen in the past and disciplined focus on expense management as you've seen from us quarter after quarter. And with no major LOEs until 2036, the next ten years, a really proactive approach to business development. Gilead Sciences, Inc.'s business is secure, growing, and with the potential for much more to come. So thanks again for your time today. We look forward to keeping you informed on our progress. As usual, if you have any follow-up questions, our investor relations team is very happy to support you with the answers to your questions. Thank you, everybody. Have a good rest of your day.